Operator: Good afternoon. My name is Andrew, and I will be your conference call operator today. At this time, I would like to welcome everyone to the Carlisle Companies Second Quarter 2025 Earnings Conference Call. [Operator Instructions] I would like to turn the call over to Mr. Mehul Patel, Carlisle's Vice President of Investor Relations. Mehul, please go ahead.
Mehul S. Patel: Thank you, and good afternoon, everyone. Welcome to Carlisle's Second Quarter 2025 Earnings Call. I'm Mehul Patel, Vice President of Investor Relations for Carlisle. We released our second quarter financial results today, and you can find both our press release and the presentation for today's call in the Investor Relations section of our website. On the call with me today are Chris Koch, he's our Board Chair, President and CEO; along with Kevin Zdimal, who's our CFO. Today's call will begin with Chris providing key highlights of the second quarter. Kevin will follow Chris and provide an overview of our Q2 financial performance and our outlook for the full year of 2025. Following our prepared remarks, we will open up the line for questions. Before we begin, please refer to Slide 2 of our presentation, where we note that comments today will include forward-looking statements based on current expectations. Actual results could differ materially from these statements due to a number of risks and uncertainties, which are discussed in our press release and SEC filings. As Carlisle provides non-GAAP financial information, we provided reconciliations between GAAP and non-GAAP measures in our press release and in the appendix of our presentation materials, which are available on our website. With that, I will turn the call over to Chris.
D. Christian Koch: Thank you, Mehul. Good afternoon, everyone, and thank you for joining us for Carlisle's Second Quarter 2025 Earnings Call. To start, I'd like to direct your attention to Slide 3 of the presentation. Carlisle was pleased to announce another quarter of solid performance and deliver a message of thanks to our outstanding Carlisle team for achieving a record adjusted EPS of $6.27 amidst the dynamic and evolving U.S. building products landscape in the second quarter. Carlisle revenues, while less than we had planned for in Q2, held steady at $1.4 billion year-over-year, and we continue to drive margins above our Vision 2030 targets, showcasing the resilience and strength of our focused pure-play building products model. Our second quarter performance underscores the enduring strength of our reroofing business at CCM, backed by a substantial multiyear backlog, enabling us to achieve top-tier industry margins despite challenges in new construction. The commercial reroofing market continues to align with our long-term growth expectations, reinforcing its role as a reliable and recurring revenue stream, accounting for approximately 70% of CCM's commercial roofing business. This momentum is driven by the aging commercial building stock, energy efficiency mandates and the trust our customers place in the Carlisle experience and our premium solutions. While CCM's performance remains strong, we faced some challenges at CWT due to well-known factors such as higher interest rates and negative builder sentiment, impacting new and remodeled residential markets. Nevertheless, we have continued to prioritize our capital allocation strategies, returning $343 million to shareholders through dividends and share repurchases, investing in innovation, and strategically acquiring Bonded Logic to enhance our position in the sizable and growing market for insulation. As we approach the end of the second quarter, building product markets and new construction failed to gain the momentum we had anticipated, including an anticipated return to a more historically normal inventory load-in by distribution to prepare for the construction season. We have previously outlined the risks to our full year outlook that were present and emerging in April, such as tariffs, interest rate cuts and builder sentiment. Despite those risks, we maintained our confidence that improved conditions would materialize in the second half of the year. Our optimism was supported by positive contractor sentiment, anticipated policy resolutions and strong backlogs, promising robust activity aligned with historic norms. Although some of the external risks materialized and influenced market activity, our teams diligently addressed the challenges and focused on factors within our control. They also remain committed to our key strategic actions to deliver on our goal of $40 of adjusted EPS by 2030. We remain optimistic about our strong reroofing performance, balancing the macroeconomic pressures in new construction. We remain confident in the fact that many of the headwinds are merely delays as repair and remodel and new construction continued to have strong underlying drivers of long-term growth as has been exhibited by our reroofing business in CCM. Carlisle is committed to Vision 2030 and continues to invest in initiatives that will ensure our long-term success. On Slide 4, the July Carlisle market survey results showcase the continued resilience of the commercial reroofing market, with full year mid-single-digit growth expectations remaining robust. Our commitment to leadership in the reroofing sector is supported by our comprehensive product portfolio, strong specifications, full warranties, superb contractor training programs, cutting-edge product innovations and unparalleled service capabilities. In the residential segment, while repair and remodel activity is showing signs of stabilization, expectations have shifted slightly from previous growth projections for 2025. Nevertheless, we continue to see substantial opportunity for increased sales and profitability when residential markets rebound. Our focus now is squarely on our efforts and strategies to enhance our manufacturing cost position, strengthen our innovation and launch of new products and enhance our product portfolio to continue to drive to complete building envelope solutions. The new construction market has softened somewhat for both commercial and residential segments since our April Carlisle market survey. On the residential front, although the survey indicates a mid-single-digit decline in new construction activity, our resilient approach and adaptable strategies prepare us to navigate these changes effectively. Despite recent headlines noting challenges such as record high home prices and elevated mortgage rates; we remain optimistic about our strategic pathways to growth. In new commercial construction, while expectations have adjusted to low single-digit decline, it's important to note the potential positive impact of recent political developments such as the reinstatement of the 100% bonus depreciation and a renaissance of U.S. manufacturing, which could invigorate demand. This is especially true in burgeoning sectors like data centers and manufacturing facilities, where Carlisle is strategically positioned to capitalize on growth opportunities. Our readiness to capture investments in these areas remain strong, and we are optimistic about the future. Moving to Slide 5. I'm excited to highlight our recent strategic acquisition of Bonded Logic, which perfectly embodies our commitment to innovation and strategic acquisitions as growth drivers. Bonded Logic, based in Phoenix, Arizona, brings to Carlisle and the Henry brand, an innovative approach to energy efficiency with its recycled denim insulation technology through the UltraTouch brand. This acquisition strengthens our commitment to comprehensive building envelope solutions and aligns seamlessly with our sustainability goals and Vision 2030 objective of generating 25% of revenue from new products introduced within the past 5 years. Though currently generating approximately $35 million in revenue, Bonded Logic operates in an estimated market for insulation of $14 billion and specifically within the rapidly growing segment focused on sustainable insulation products. We see tremendous potential for double-digit revenue CAGR in the insulation market as we integrate Bonded Logic's unique material platform with Henry's extensive retail distribution network and customer relationships. We anticipate this acquisition to reach run rate EBITDA margins that support our Vision 2030 objectives. From a market expansion standpoint, we are uniquely poised to leverage the benefits of denim insulation to penetrate the large fiberglass and mineral wall markets. Market feedback and our retail success have been exceedingly positive. Currently, Henry UltraTouch Insulation is available at over 400 Home Depot stores, with Home Depot serving as our exclusive big-box retail distributor. We are thrilled to announce that Henry has been selected as a finalist for the Home Depot's 2025 Merchandising Innovation Award for the Henry UltraTouch product. This prestigious award recognizes products that have significantly transformed the home improvement landscape. This recognition also underscores and validates our commitment to innovation as a key driver of Vision 2030 and highlights the significant growth opportunities that Bonded Logic offers through their cutting-edge denim insulation capabilities. Now turning to Slide 6. Innovation is at the heart of our Vision 2030 goals and serves as a key differentiator for Carlisle. Our robust pipeline of new products is focused on delivering energy savings, labor efficiencies and integrated building envelope solutions. Our unwavering commitment to innovation is evident in the significant strides we've made in 2024 and 2025, including the refinement and implementation of our advanced stage gate and voice of the customer processes. These initiatives ensure our teams deliver straightforward innovations that meet the evolving needs of building owners, contractors, architects and other stakeholders. We aim for our products to offer measurable outcomes, such as a solid return on investment, providing value to users and allowing us to price based on the value created ultimately, creating the opportunity for substantial returns for Carlisle shareholders. This quarter, we've advanced several product development initiatives aimed at capturing emerging market opportunities, enhancing labor savings and improving energy efficiency for our customers. As previously mentioned, our acquisition of Bonded Logic brings revolutionary denim insulation technology to tap into a vast addressable market. Organically, products like the new Dual Tank Flexible FAST Adhesive, our expanding Blueskin portfolio with innovations such as ZeroFlash and VP Tech, along with larger 12-inch InsulBase Flat Polyiso panels positions us to meet the increasing demand for integrated building envelope solutions. These solutions enable contractors to work more efficiently while delivering superior building performance. Looking to the second half of the year, we are proactively addressing market headwinds by implementing measures such as reducing CWT's footprint and gaining efficiencies through automation. We anticipate our COS initiatives, combined with acquisition synergies to generate over $30 million in savings, contributing to more than 200 basis points of margin improvement for CWT. While some benefits will take time to fully materialize, we are confident in our ability to drive significant margin expansion over the Vision 2030 time frame. Looking ahead, we remain optimistic about our long-term strategic positioning. The key drivers of our businesses, including aging building stock, energy efficiency requirements and infrastructure investment needs continue to be strong. In residential markets, the ongoing housing shortage supports longer-term growth opportunities. Our strong balance sheet provides the flexibility for continued strategic investments while we maintain our commitment to returning capital to our shareholders. And with that, I'll turn it over to Kevin to provide additional financial details and color on our outlook for 2025. Kevin?
Kevin P. Zdimal: Thank you, Chris. Moving on to Slide 7. I'll review our second quarter financial results. During the quarter, we achieved revenue of $1.4 billion, essentially flat compared to the second quarter of 2024. The acquisitions of MTL, Plasti-Fab and ThermaFoam contributed $39 million of revenue in the second quarter. While strong reroofing activity provided some stability, we experienced lower volumes resulting from slower new construction across both residential and commercial segments, lower residential repair and remodel and an increase in weather-related disruptions. Adjusted EBITDA for the quarter came in at $389 million with a margin of 26.9%, a decline of 190 basis points from last year. This decline was mainly due to volume deleverage and softer market conditions at CWT, higher operating costs related to preparing for a strong construction season and the load-in that Chris mentioned at CCM, and our ongoing strategic investments in innovation and enhancements to the Carlisle experience. Adjusted EPS had a record $6.27, up from $6.24 in the prior year. Share repurchases and accretive acquisitions more than offset lower organic earnings which faced pressures from the previously mentioned end market challenges. Now let's turn to our segment performance beginning with CCM on Slide 8. The Construction Materials segment reported second quarter revenues of $1.1 billion, growing approximately 1% year-over-year, with the increase coming from the positive contribution from the MTL acquisition. Organic revenue was effectively flat in the quarter with reroofing growth offset by a decline from new construction headwinds and unfavorable weather. Also, as a reminder, CCM's second quarter revenue was negatively impacted by approximately $15 million as Canadian customers accelerated purchases in the first quarter of 2025 in anticipation of tariff-related price increases. Adjusted EBITDA for CCM was $346 million, down 5% compared to last year with a margin of 31.6%. Adjusted EBITDA margin declined by 180 basis points to the previously mentioned higher operating costs as we anticipated stronger second half volumes and investments in innovation and enhancements to the Carlisle experience. Pricing and raw materials were flat on a year-over-year basis in the quarter. The MTL acquisition continues to exceed expectations, creating substantial value through additional content per square foot in our broader warranty system offering and strategic account expansions, offering comprehensive building envelope solutions. Turning to Slide 9. Our CWT segment reported second quarter revenues of $354 million, a 2% decline from the prior year, with organic revenue down 10%, largely due to softer residential end markets, roof coatings demand and new commercial construction. CWT's adjusted EBITDA was $71 million, a 13% year-over-year decline with an adjusted EBITDA margin of 19.9%, a decrease of 260 basis points. This margin compression was primarily due to volume deleverage. However, we are encouraged by the investments we are making in automation and COS initiatives which we expect to yield an incremental $12 million of annualized EBITDA. Integration of our recent acquisitions, including MTL, Plasti-Fab and ThermaFoam are ahead of plan, and we expect year 3 synergies to exceed $34 million annually. We are leveraging our broader building envelope systems approach to drive cross-selling opportunities, illustrating the effectiveness of our M&A playbook. Moving to Slide 11. Our balance sheet remains strong with $68 million in cash and a net debt-to-EBITDA ratio of 1.4x. We have $1 billion available under our revolving credit facility, offering significant flexibility for strategic investments. As shown on Slide 12, during the quarter, we generated free cash flow of $258 million, maintaining a balanced approach to capital deployment. We repurchased 800,000 shares for $300 million, bringing our year-to-date share repurchases to $700 million, in line with our 2025 share repurchase target of $1 billion. We expect to generate approximately $1 billion of free cash flow in 2025, which would be our fourth consecutive year of delivering over $1 billion in operating cash flow. The strong, consistent cash generation provides us with the financial flexibility to facilitate continued investment in capital expenditures, innovation, synergistic acquisitions, share buybacks and dividends, and drive to our $40 of adjusted EPS goal. Turning to Slide 13. Our updated outlook for the full year of 2025 reflects low single-digit revenue growth at both CCM and CWT as we expect contributions from recent acquisitions will be substantially offset by persistent end market challenges related to interest rate pressures, housing affordability and lack of buyer confidence. We expect commercial reroofing demand will remain strong. However, we reduced our expectations for commercial and residential new construction and residential repair and remodel. We also expect second half pricing to be flat year-over-year at both CCM and CWT. As a result, we now anticipate a 150 basis point decline in our full year adjusted EBITDA margin due to the lower volume expectations and limited traction on the price increases announced earlier this year. We continue to expect our free cash flow margin to exceed 15% for the year. In conclusion, while we navigate these challenging end markets, our strong fundamentals support long-term growth. We remain focused on executing our Vision 2030 initiatives and delivering our Vision 2030 financial goals. With that, I will hand it back to Chris.
D. Christian Koch: Thank you, Kevin. Turning to Slide 14, I am pleased to highlight the team's proactive approach, focusing on the factors within our control positioning Carlisle for an even stronger future margin profile while staying true to our strategic priorities outlined in our Vision 2030 plans. In our CCM business, we are maintaining our market leadership and have robust margin recovery strategies in place. Despite current market challenges, our business model remains strong and resilient. We anticipate margin expansion through volume leverage, ongoing MTL synergy realization, operational improvements via our Carlisle Operating System, disciplined pricing through the Carlisle experience and the adoption of emerging AI technologies. Our innovation pipeline is strong, featuring products like Flex FAST (sic) [ Flexible FAST ] solutions, which offer customers premium labor savings and energy efficiency enhancements. For CWT, our self-help initiatives are pivotal during this period and are set to drive higher margins in 2026, leading to significant long-term margin expansion towards our Vision 2030 goal of achieving 30% adjusted EBITDA margins for CWT. We're harnessing automation benefits optimizing our facility footprint and capitalizing on synergies from our Plasti-Fab and ThermaFoam acquisitions. Additionally, we are fostering growth through our innovative new products like UltraTouch and expanding our Home Depot relationship to include single-ply roofing, insulation, flashing and air barriers. Company-wide, we're focused on seamlessly integrating our strategic acquisitions while accelerating innovation through new product development. Our Vision 2030 targets remain firmly on track despite near-term challenges. We are committed to more than doubling adjusted EPS to $40-plus by 2030, maintaining industry-leading ROIC of 25% and achieving free cash flow margins exceeding 15%. With the target organic revenue CAGR of over 5% and anticipated cumulative free cash flow exceeding $6 billion, we have multiple pathways to achieve our $40 of adjusted EPS as committed to in Vision 2030. The actions we're taking today, ranging from operational improvements and strategic acquisitions to innovation investments, position Carlisle to bridge current performance to these long-term objectives, all the while maintaining a disciplined approach to capital allocation. In conclusion, the second quarter showcased the robust strength of our business model and strategic positioning. Our emphasis on the recurring reroofing revenue stream, strategic investments in innovation and disciplined capital deployment are driving solid performance. I extend my gratitude to our Carlisle employees for their unwavering dedication. Their commitment to excellence is the foundation of our success and will continue to propel our outperformance. That concludes our formal comments. Operator, we are now ready for questions.
Operator: [Operator Instructions] Your first question is from Garik Shmois from Loop Capital.
Garik Simha Shmois: Just starting off, I was wondering if you could provide a little bit more color on how we should be thinking about EBITDA margins by segment in the second half of the year given the new outlook.
Kevin P. Zdimal: Yes. Garik, this is Kevin. And yes, as we look at the margins, overall, as we look from Q2 to Q3, I'll start with CCM, that the revenue in Q3 is lower than Q2. So some of that volume carries over that. Well, a challenge to margin a little bit, so we expect to be around 31% in Q3. And then Q4, as you know, that's the lighter quarter for us overall, and we have CCM down around 29% in Q4. And then as you look at CWT, we would expect to be both the Q3 and Q4 right around 20%. Some of that improvement because they have a lighter revenue as well in Q4, but that's when some of the synergies are kicking in from the Plasti-Fab acquisition as well as some of the automation that we've done in the factories.
Garik Simha Shmois: Great. That's helpful. My follow-up question is just if you can speak in a little bit more in detail on some of the actions you're taking in CWT, the footprint rationalization, the automation, how to think of the timing of some of these cost savings. And I think you mentioned two figures in the prepared remarks, I think there was $12 million and $30 million, just wanted to be clear on these amounts. So these run rate figures, are these the expected savings or you're anticipating in the second half? Just a little bit more handholding on the actions you're taking there. And then maybe also if there's any plans for CCM, just given the weaker demand environment.
Mehul S. Patel: Garik, I'll take the breakdown on CWT. So overall, to your point on the earnings call, Chris and Kevin mentioned there's $12 million of total synergies in CWT from automation projects that we implemented for Fernley and Kingman. There are also some additional plants that we're looking at to implement automation. And in addition to that, with those automation projects, the next phase is looking at some footprint consolidation. So you add those together, that's $12 million, and those are annualized savings. So we'll get a portion of that in the second half of '25, and then we'll get the remaining amount in '26. So we'll continue to see margin expansion there going into next year. And then lastly, on the synergies from the Plasti-Fab and ThermaFoam acquisitions, there's a total of roughly $14 million of synergy. So you have those together, that's how you get to the roughly $30 million of opportunities for CWT.
Kevin P. Zdimal: And then on the CCM side, yes, we continue to -- one, we had some expenses in the second quarter that we will not have repeat in the third quarter and the fourth quarter. Those were expenses that we added for the buildup for what we expected to be a strong season that didn't pan out. So those costs will be removed. And then, of course, we're working on COS as well at CCM and there's opportunities there to improve margins.
Operator: Your next question is from Bryan Blair from Oppenheimer.
Bryan Francis Blair: I was hoping you could offer a little more detail on monthly order and revenue phasing through Q2 by segment and what you're seeing in the month of July relative to the Q2 run rates and how that perhaps influences the guide.
D. Christian Koch: Yes. Bryan, similar to how we exited, I don't see a lot of change from June to July. Of course, July has the holiday and some other things in it. So usually, it's not a terribly a robust month or what we have high expectations for. But as we went through the first quarter, obviously, when we were at the end of April, we did our Carlisle market survey, and we looked at where we were on what I'll call our political macro front, I think we are more optimistic. And as we got through the quarter, I think more anxiety crept in, which really, we saw Powell today say that the housing market was still weak on his report. And from the commercial side for us, I think a few contractors that I talked to, about a week ago, characterize it as healthy activity. But the activity has changed and that a reduction in bids to a certain degree, especially on the new side. And then something that was interesting was this idea that there were a lot of pending but yet be awarded or decisions were just not being made. It wasn't that it wasn't going to happen, but the interest rate environment and the economic outlook and the anxiety over tariffs and that were causing people to have a more difficult time making decisions. So I think that progressed through the quarter. And that was a definite tone for maybe where we were more optimistic in April. And I think that tone is still here, and you heard some of the questions that the Fed chair got today around even some conflict on the Fed Board there, I think, to the centers about where we are. So I think that's causing some anxiety, which are making people delay things. It doesn't mean that we're not having activity. It doesn't mean that activity isn't planned, or the economy isn't going well. It's just creating more anxiety. So that's kind of where we sit. And then in June, I think we also saw in some regions some weather impact about a day or 2 that had an impact there as well. So kind of a little bit of more degradation, I would say, throughout the quarter. And then from June to July, as you asked, pretty consistent with each other.
Bryan Francis Blair: Okay. That's very helpful. And maybe offer a little more, I guess, big picture color on how your team is thinking about the impact or catalysts of, One Big Beautiful Bill on construction markets going forward and how tax incentives may influence your own investment planning. You've obviously never been shy of investing in the business, there's incentive to do more.
D. Christian Koch: Yes. I think first on the -- I'll talk about the Beautiful Bill; Kevin can talk about the investing. But one thing I'd remind everyone, and I think we called it on is that we're still generating a lot of cash flow. Over the last few years, $1 billion a year. So you're right, we've never been shy about investing in innovation or investing in our manufacturing facilities to drive that, be the low-cost producer in the industry, and we're going to continue to do that. We're also seeing more investment in things like AI that we didn't have 5 years ago, but we're seeing some opportunities there that Kevin can get into as well. As far as the Big Beautiful Bill from a nontax side from just generating of potential revenue, obviously, the biggest one for us is this idea that we bring manufacturing back to the U.S., right, and what that means and reinvestment in the U.S. When we looked at the sectors or verticals, as DOGE produced them, I think, recently, in '23, manufacturing was down 1.5%; in '24, I think 23.4%; and then even in '25 now by 19%. So if we could see that bill have a reinvestment in America, and we can see the tariffs have the action of driving some manufacturing back, I think it would be very positive for us. When you couple it up with the fact that our dollar per square foot on new construction and on reroofing is higher than it was 5 years ago and 10 years ago and 15 years ago based upon additional demands for energy efficiency and labor savings, so I think it could put us in a good position as we move forward. And Kevin, why don't you pick up the tax and how Carlisle will do to change our investment.
Kevin P. Zdimal: Yes. The first thing we look at for on a capital investment is going to be ROIC. So certainly, having depreciation in year 1 versus over multiple years. That helps the return, so higher ROIC, and that only impacts manufacturing facilities, R&D, new facilities. So I don't think it will be the #1 driver for us adding anything with new facilities, but certainly, it will have a positive impact on ROIC as we're looking at those projects.
Bryan Francis Blair: All makes sense. A quick level setting questions on Bonded Logic. You had mentioned run rate sales and that EBITDA margins will be supportive of Vision 2030. What should we think about as normalized growth for the asset? And where are margins currently? And what kind of profitability are you targeting over time?
D. Christian Koch: Well, for about targeting over time, we would ideally like to see something north of 50% gross margin. I mean that's one of the things that we talk about on new products that that's -- and why we get there is that we want to see value-add. We want to price the value, and gross margin is a good indicator of price and value to market and also how efficiently we're producing the product. So I think from a big picture perspective, that's what we like to see Bonded Logic add up.
Kevin P. Zdimal: Yes. And it's a new product, that's really what we're looking at is almost picking up, buying a new product and the CAGR is going to be very high from a revenue standpoint, and it's going to be, I mean, well into the double digits. As far as what we're looking at, it will take a year or 2 before it really starts ramping. But even in those initial years, that's what we're looking at. And yes, I would agree with Chris on the gross margins and EBITDA margins above or even where we stand today.
Operator: Your next question is from Susan Maklari from Goldman Sachs.
Susan Marie Maklari: My first question is speaking about the opportunities that you do see in a more challenging environment. You talked in your prepared remarks about investing in innovations and the Carlisle experience. Can you help us understand how you can further those initiatives to perhaps even gain market share or maintain market share in this kind of situation and what you're seeing in terms of the competition out there and what that could perhaps mean for Carlisle in the upcoming quarters?
D. Christian Koch: Sue, I think this idea of investing in the Carlisle experience, and one of the things we're looking at in there is how can we use obviously AI to help facilitate that, how can we use mobile devices to provide more information quicker. One of the big discussions I had, and I talked to contractors quite a bit, and one of the big discussions we had was around trucking, right? And it was very interesting that one of the contractors said to us it's been a problem, for a long time, our biggest issue trucking. It's not that the trucks are hard to get. It's not that we don't have them coming in, but if they're supposed to be there at 8 a.m., they'll call us at noon and then they won't show up until the next day, right? So that's kind of a direct quote. So how can we apply technology? How can we make investments in our Carlisle experience to help provide better information, better real-time information, better tracking, coordinate better with trucking companies, maybe even invest in our own certain assets to enhance that, so that once again, we get back to that key pillar of labor efficiency, right? Even for the contractor, it's not on the roof, but it's no use having a crew at a job site at 8 a.m. and not being able to begin work, right? That's just wasted time. So I think it gets to the investing in the Carlisle experience. Also helps with specifications. We've been looking at ways we can also -- another example would be on inspections. Before we can issue a warranty and before a contract could be paid, we do an inspection of the roof. And right now, typical inspections for us would be somewhere around 30 days at the outset or at the longest. But how could we get those to be condensed into something like a day later or how could we have our contractors to be able to do their own inspection some way with technology through whatever it might be, a video or something like that or using AI. So again, all these go back on that idea of how do we make the life of the contractor easier, how do we allow them to be more profitable. We can also do it through investments in innovation, which you know we're doing, where we're combining products into solutions that help them put the job up quicker. So all that points to share gains, hopefully, and it points to more profitability as we -- I would say, share that labor savings or share that efficiency with them, make them make more money and they'll be happier to buy Carlisle. The other thing it does, and you brought up competition, is it embeds us closer and creates a stickiness, right? Obviously, once you get something rolling on a trucking perspective or on a new product perspective, that makes your life easier. You want to use that product more and more. Also, you want to train your people, and we do a great job of training and providing training. And as these products get more technical, the better training we can do both in our locations like Carlisle, PA where we have a massive infrastructure around training but also to ones where we can work with distribution to train in the field or at a contractor's job site, just makes it stickier again for us and helps with competition. I think when we get into competition, it probably begs the question around what's happening with some of the competitors we've talked about that might be foreign or otherwise. And I would say that as we've always said, our U.S. competition, the changes there with Amrize and Elevate, the changes over GAF have been productive. I think the industry has certainly become more professional and is investing in the right things as an industry around innovation, manufacturing excellence. And then I think what that also does is, it does makes it more difficult for new competitors to enter as we larger organizations that are well established and have deep seated roots in manufacturing and architecture relationships and contract relationships that makes it harder with all those things I talked about initially to displace us. So not much happening out of the ordinary on the competition front, a lot of talk out there, but not much that we're seeing that's changed over the last 6 months.
Susan Marie Maklari: Okay. That's very helpful color. And then can you talk a bit about what you're seeing in terms of the M&A environment given the macro and the housing backdrop that we're in? And I guess if there are any changes in that M&A pipeline, how are you thinking about capital allocation in this environment and your willingness to perhaps do more on the buybacks or other forms of shareholder return?
D. Christian Koch: Yes. The M&A pipeline, it's been, I would say, good, robust as we've talked about. There are deals that are attempting to be made. I think what I said probably in the last call, and I've said before, has been this gap between sellers and buyers in terms of value. And I think it points back to this discussion we've had around increasing anxiety in the markets on people not wanting to take action because of uncertainty or greater uncertainty. So we've had a look -- I can say one example we were in where it basically ended up being a failed process because the gap between seller and buyer was too big, and it wasn't just us, obviously, if the process fails, it was across the entire set of bidders. So I think that kind of typifies where we are where two parties can come together and be reasonable, there's probably going to be a transaction. Obviously, Bonded Logic is one we worked on for a while. We were able to close that. Plasti-Fab was another one. But a great many of them don't ever get there. So that's kind of where we are in capital allocation, Kevin, will take that for you.
Kevin P. Zdimal: Yes. Capital allocation, we've been fortunate to generate a lot of cash and be able to pick where we want to invest. So we look at each one of them, M&A, buybacks, dividends, CapEx independently. Each one of them, we're looking for -- we have return hurdles that we're looking for. So on M&A, as Chris said, we will remain a disciplined buyer. We're going to look for acquisitions that can be bolt- on acquisitions to our current product line or geography expansions, continue to do that, but at the right cost. And then same with buybacks. When we look at buybacks, we look at our intrinsic value, and that's how we base our buyback decisions. So we'll continue with that going forward.
Operator: Your next question is from Timothy Wojs from Baird.
Timothy Ronald Wojs: Maybe just the first question, just on the lack of pricing traction. As you kind of step back and think about that, is it just the weaker volume environment? It doesn't sound competitive, but maybe there's some of that. Is it just lower raw materials and kind of lower raw material basket? Just how do you kind of frame up just that kind of lack of pricing traction and the drivers of that?
D. Christian Koch: Yes. I would say that first of all, I think the pricing environment is pretty good, considering we may not have achieved traction on the latest round of price increases, but we also haven't seen much degradation on pricing. And when we look at the bidding environment, I think, Tim, it relates just to the volume around new that with new going down, obviously, competitors or contractors are out there looking at reroofing. Our reroofing contractors are very strong. We're seeing -- you can see that in there. But I think with the reduction in new, you're getting more bids on the jobs that are there. So I'm not unhappy with where we are on pricing. I think it's been pretty rational and -- especially with the fact that raw materials are staying relatively flat, too. So not a lot there. I think just pretty much, I'd just say its volume related.
Timothy Ronald Wojs: Okay. And then I guess on the delays in some of the kind of bidding pushes and things, is that strictly in new construction? And is it the whole building? Or is it -- obviously, if you're putting up a building, you need a roof. So I guess, is it just the overall new construction environment and that's kind of hitting you guys? Or has that also kind of bled into any sort of like discretionary reroofing activity?
D. Christian Koch: No, it doesn't appear to have moved into reroofing. Reroofing has been strong, continues to be strong. We've said that. I think actually, in a way, this is a really good example of something that we've had concerns about, not us, but the market, I think, around what happens in a pullback, does reroofing stay strong? Is there really backlog? And obviously, in the quarter, reroofing stayed strong. Labor is allocated to that. Pricing remained good, and we had good strength in reroofing. It's really related to new construction. And I think it's pretty much across the country, right, that whether we're up in Seattle in the Northwest or we're in L.A., I think when we look at the marketing -- or the markets, excuse me, the sectors, I mentioned the manufacturing being down, I think that's still the case. Warehousing has been down for now 3 years. Data centers are up. That's a popular one, we think somewhere between 30% and 40% year-over-year. But the ones I mentioned and then a little bit of retail being impacted, I think this year, last year had some good growth, high single digits. And this year, it's pretty flat. So again, it gets back to that idea of -- I like the phrase of pending to be awarded, meaning it's there and if I can wait 30 days to see what's happening, maybe that's a good decision. Maybe something changed on the interest rates. And obviously [indiscernible] maybe it makes some things loosen up. But I think it really is just the statement around people being confused, harder to make a comfortable decision and that anxiety. And obviously, it's on the margin. So yes.
Timothy Ronald Wojs: Okay. And then I just have -- I'm going to sneak one last one in, just kind of a broader kind of open-ended question, but I think it's kind of topical for people. Just how should we think of Carlisle just kind of in the context of kind of what's going on in kind of a changing market. Two of your kind of larger distributors in roofing have been acquired by different entities. There's some larger M&A in the market. You're seeing kind of maybe some contractor M&A that's kind of going on, too. So how does that all kind of piece together? And where does Carlisle kind of come out the other side with this?
D. Christian Koch: Yes. Tim, no question that I think I said to someone when I joined 17 years ago compared to today, who knew that roofing and building products was going to be such an interesting space. But obviously, the distribution changes. And by the way, that might have impacted things in the second quarter as well where we have a transaction occurring and they're working through the integration and things like that. So obviously, those changes, private equity getting in and buying contractors, there's been strong activity there. When I do talk to contractors, they will tell you that there is definitely activity, and they're being talked to by people who are interested in rolling up that side of the industry. Manufacturing, we see more people wanting to get into the business. So it's an evolving environment. But I think the key thing is that we still -- at least on the commercial roofing side, we think we're the leader there. We've got very strong competitive advantages in commercial roofing and building envelope solution. We've got scale. I mean, our margins and our cash flow generation are giving us tremendous opportunity to invest in things right now, whether it be our own stock or whether it be AI or customer excellence, whether it's innovation or driving cost reduced down in our factories through automation and even through the use of AI there. We just -- those margins, that cash flow sets Carlisle up to be able to make the investments we need to as we go forward and maintain our leadership position. R&D and innovation is going to be key. I think one of the big things for us is going to be, to be the preferred choice, to be that sticky preferred choice to own the contractor, to make it through our customer service experience and customer intimacy, through our innovation, through our operational excellence, the product of choice. And I think if we do that, everything else is going to work out. I think there will be changes around us, but I'd like to think of us as being the one place where people can come and get a consistent response from an organization that's been around for a long time. You know what you're going to get, you're going to get high quality price to value, excellent customer service from our teams. And we've got good teams with good tenure. We've got a good workforce. We've invested over the years. So I think about that flywheel, and you add M&A in there and you expand our product offering in the building envelope, and I like where we end up.
Operator: The next question is from Tomohiko Sano from JPMorgan.
Tomohiko Sano: This is Tomo. My first question is, I like to have more color on pricing. And has stable commercial reroofing allowed you to sustain pricing power through innovation and the Carlisle experience compared to softer demand in other end markets and pricing competition? So that's my first question.
Kevin P. Zdimal: Yes. As we look at innovation, that's where we look to price for the value that we bring to whether it's a contractor or a building owner. If we can bring them opportunities to reduce labor for their costs, then we deserve a higher price for our product. We share some of that savings to the contractor. Similar for a building owner, if its energy efficiency plays and the building owner is going to save money on energy, then we look to price our product higher there and share that savings with the building owner. So overall, we have pricing this year, it's more about the volume that Chris talked about into the second half of the year, and we're looking at pricing being stable, both in the third and fourth quarters.
D. Christian Koch: Yes. Tomo, I would say that pricing is a reflection of how well we're delivering on our value proposition to the customers. So it also helps us preserve price because they can clearly see that if we deliver on time with the right product, if they don't have callbacks for warranty, if they have a smooth warranty inspection process, if their questions are answered quickly, if they have good training, then they can see the value in that, and then that helps us maintain pricing even in an environment where there may be more competition or new construction may be slowing.
Tomohiko Sano: Okay. And my last question is EPS forecast. And you mentioned record EPS for 2025 but compared to the prior comment of 10% plus growth, so the tone this time seems slightly more tempered. But should we interpret your EPS outlook, including strong capital returns as flat to slightly up year-over-year right now?
Kevin P. Zdimal: Yes. Yes. We definitely, with our revised guidance, see it lower than what we talked about at the double-digit number, but we're still looking in the growth rate on our EPS. We don't do EPS specific guidance. But yes, if you put the factors in, I think you should come up with something that's going to be, again, a record EPS year for us in 2025.
Operator: Your next question is from David MacGregor from Longbow Research.
Joseph Nolan: This is Joe Nolan on for David. On the CCM side, can you just talk about channel inventory levels for TPO, EPDM and polyiso and just how you expect those to develop into the second half of the year?
D. Christian Koch: Yes. I think the -- obviously, the -- we didn't get the loading we wanted. So I would say that inventory levels have just been pretty consistent with what they were in the fall and as we move through the spring, a little bit on the lighter side, I think, relative to what we would have expected, especially if the season had been more robust around new construction. But I don't see a big change in inventory levels at Carlisle. Certainly, we have plenty of supply to keep our OTD up and to service all those. But no real change, I think, perhaps at the distribution level in a couple of cases where they're going through integrations and acquisitions in that, there may be some delay and maybe light in some areas, but nothing of note that I picked up. Kevin?
Kevin P. Zdimal: I would agree with that analysis as well, nothing to add.
Joseph Nolan: Okay. And then just a follow on the pricing questions. We heard that some manufacturers have announced a polyiso increase. Could you just talk about your confidence in that increase given the softer traction on the earlier increases?
D. Christian Koch: Yes. I think that we've embodied that in our projection for really a flat second half on pricing. And as we mentioned, we didn't see a lot of traction occurring on those polyiso price increases. And I wouldn't anticipate without some change in demand on the new construction side, I wouldn't see that or the one other variable that would have happened or could happen is if there was some major action from a supplier of MDI that might related to tariffs or otherwise, it might create some price issue there. But our forecast for that is no traction on those price increases and flat for the year.
Joseph Nolan: Okay. Got it. And then if I could sneak one last one in. In the prepared remarks, you talked about a $20 million impact to volumes from weather in the second quarter. Should we expect that to be fully made up in the second half? And was there any incremental storm demand created from those? Or were these maybe too moderate storms to create that demand?
D. Christian Koch: I can't really comment on the storms. I think the storms have been getting worse. I know on the residential side; they talk about that a lot on the shingles. On the commercial construction side, our roofs are very robust. And I would say that any storms we had, they do impact future demand because obviously, where leaking occurs or some damage that creates future demand. Will the demand that we saw from the weather show up in the third quarter? I imagine some of it. But remember, we think we're at a pretty full employment of contractor labor situation. So likely that rolls into the backlog or pushes something else into the backlog while they repair that. So we're still a little bit constrained and it probably goes without saying that certain immigration actions and things like that have also been affected or contracts have been affected by that. So I wouldn't say there's surplus labor that can address that kind of weather-related demand and make it up in 1 quarter.
Operator: Your next question is from Keith Hughes from Truist.
Keith Brian Hughes: Question on some inputs, particularly MDI. We've seen some acceleration in that first half of the year. Are you expecting that to kind of flatten out as we get to the second half given this kind of flattish price environment you're talking about here in your end-use products?
D. Christian Koch: Yes, indeed. A little bit in '25 here in a rise from Q1 to Q2, a couple of percent, but then flattening out through Q3 and Q4, Keith.
Keith Brian Hughes: Okay. Is that [indiscernible] that would still be inflation in the second half.
D. Christian Koch: It would be if you look from Q2 of '24 to Q2 of '25. But sequentially, not much inflation after Q1 of this year or really not much inflation actually since Q3 of '24.
Keith Brian Hughes: Okay. And if we look within CWT, you talked a lot about flat pricing, non-tractional price increases. Is there any product there that you're specifically struggling with to get price increases through and maybe alternately some you're doing a little bit better than average?
Mehul S. Patel: Yes. So overall, Keith, this is Mehul here, for CWT, pricing is stable year-over-year, and it's pretty much across all the different segments. In spray foam, Keith, just I know last year, there was pricing pressure in that specific category. So that's bottomed out. Earlier this year, there was some price increase announcements. But I think given the challenges in residential, it's going to remain stable versus going up.
Operator: There are no further questions at this time. Please proceed with closing remarks.
D. Christian Koch: Well, thank you, Andrew. This concludes our second quarter earnings call for 2025. I want to thank everybody for your participation. And as usual, we look forward to speaking with you at the next earnings call. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.